Operator: Good morning. My name is Frenzy. I would like to welcome everyone to the JetBlue Airways Third Quarter 2021 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to the JetBlue's Director of Investor Relations, Joe Caiado, please go ahead.
Joe Caiado: Thanks Frenzy, and good morning everyone, and thanks for joining us for our third quarter 2021 earnings call. This morning, we issued our earnings release and a presentation that we will reference during this call. All those documents are available on our website at investor. JetBlue.com, and have been filed with the SEC in New York to discuss our results Robin Hayes, our Chief Executive Officer, Joanna Geraghty, our President and Chief Operating Officer, and Ursula Hurley, our Chief Financial Officer. Also joining us for Q&A are Scott Laurence, Head of Revenue and Planning, David Clark, VP of Sales and Revenue Management, and Andres Barry, President of JetBlue Travel Products. This morning's call includes forward-looking statements about future events. All such forward-looking statements are subject to certain risks and uncertainties and actual results may differ materially. Please refer to our most recent earnings release and our most recent Form 10-Q or 10-K for a more detailed discussion of the risks factors that could cause the actual results to differ materially from those contained in our forward-looking statements, including among others, the COVID-19 pandemic, fuel availability and pricing, and the outcome of the lawsuit filed by the DOJ related to our Northeast Alliance. The statements made during this call are made only as of the date of the call and we undertake no obligation to update the information. Investors should not place undue reliance on these Forward-looking statements. Also, during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. But now I would like to turn the call over to Robin Hayes, JetBlue's CEO.
Robin Hayes: Thank you, Joe, and good morning, everyone. As we have done throughout the pandemic, I'd like to take a moment to remember 4 crew members We have lost to COVID-19 in recent month. Richard Oh was a beloved member of our systems engineering team here at Long Island City and has worked for us for almost 12 years. He was also a close friend to his fellow crew-members. Joseph Anderson supported training and development programs for our customers support team for the last 5 years and was known for his generosity and adventurous spirit. Manny Gomez was a cherished member of our in-flight team for almost as many years as JetBlue has been operating. And Alex [inaudible 00:02:46] joined the JetBlue family in October 2002. He was a treasured member of the ground ops team at Orlando's, where he was always known for being first to chip in and help. Our hearts go out to their family, friends, and fellow crew members, and to all of those who have been impacted by COVID-19. I'd now like to thank our truly amazing 21,000 crew members. They continued to deliver for our customers and they give me great confidence that JetBlue is well-positioned for future success. Moving to Slide 4 of our 3Q-21 earnings presentation. For the third quarter, we reported an adjusted loss per share of $0.12. I'm encouraged by the steady progress we are making while capitalizing on opportunities to enhance our future earning power. And while the demand environment has been affected by CapEx count, we believe that demand is once again poised to accelerate into the peak holiday periods and beyond as people adjust to a new normal. As we look ahead and plan for 2022, we retain the agility that has characterized our planning process for the last 18 months and as we prepare for continued demand recovery. We're marching towards a full recovery and the return to sustained profitability with margin truly as our moved Star. I'm a firm believer that our unique business model, low cost, low fares, and the superior product positions JetBlue to thrive in the years ahead. Now turning to slide 5 of our presentation. Throughout the pandemic, we have not lost sight of our commitment to serve our communities, add more diversity to the aviation industry's pipeline, and increase sustainability across our operation. JetBlue continues to lead the industry in ESG as the first airline -- U.S. airline to file SASB and TCFD aligned ESG report. The executive compensation to ESG met tie executive compensation ESG metrics, execute a sustainability linked loan, and operate an ESG subcommittee of our Board of Directors. We're also pleased to see our initial 2017 investment in Joby Aviation validated as they went public this past quarter. With our efforts, we are honoring our responsibility to our customers, our crew members, development and strengthening shareholders' value as we recover grow. I'm pleased to say we are now well ahead of pace to achieve our target of transitioning 10% of our fuel usage to sustainable aviation fuel by 2013, enabled by our recent deals with SG Preston, Neste, World Energy and World Fuel Services. We're taking a diversified approach on SaaS by engaging with multiple partners. Our industry has a responsibility to decarbonize how we cannot do it alone. Earlier this month, the International Air Transport Association Member Airlines, committed to achieve a net 0 carbon emissions by 2050. Following the IOTA resolution, we are pleased to see the Air Transport Action Group or ATAG adopt a net 0 carbon goal for 2050. ATAG is a global organization comprised of airlines, airports, aircraft and engine OEMS, and air traffic controllers. These commitments underscore and unparalleled and collaborative approach across our entire industry to address key challenges and advanced collectively for the net 0 targets. We are happy to play a role in continuing to lead the industry with the most holistic plan to address sustainability, and we're delighted to see some of our competitor [inaudible 00:06:43] up to this issue. We've also recently released our annual ESG and social impact reports, which includes the results of our first ever climate risk scenario analysis as well as an overview of our corporate responsibility programs focused on youth education, the environment, and increasing diversity within the stem fields that fuel our airline. Both comprehensive reports can be found on our Investor Relations webpage. Moving now to Slide 6. As we walk -- as we work through the annual planning process, our teams are setting solid goals were our network, commercial, and cost initiatives, and capital allocation priorities. I could not be more proud of our team's efforts. And I'm confident we are setting JetBlue on a trajectory to restore our earnings power to beyond 2019 levels over the coming years, generating long-term value for all of our shareholders -- stakeholders. Over the course of the pandemic, we launched game-changing network moves, and continued to pursue strategic initiatives to build a strong foundation for our long-term success. We're thrilled to have finally landed in London in the third quarter, a milestone achievement that was years in the making, and we look forward to bringing JetBlue's low fares and award-winning service to even more customers across the Atlantic, just as the U.S. prepares to ease entry requirements for U.K. travelers next month. Our team is doing a fantastic job in rolling out and expanding our commercial initiative, including the latest evolution of our fare options, which helped drive the industry's best revenue acceleration this summer. Our JetBlue Travel Products subsidiary remains a bright spot in recovery. Delivering over 40% revenue growth versus pre -pandemic levels. And our efforts in loyalty starting to materially enhance earnings performance. Our talent -- our relentless work to shape our cost structure is a key pillar of our goal of achieving superior margins. We are deep in our planning process and working diligently to mitigate the external cost pressures tied to the recovery. I'm confident that we'll maintain a competitive cost structure and return to our roots as a low-cost airline. Lastly, we made incremental progress in deleveraging our balance sheet by paying off our Cares Act loan and other bank loans. Our unwavering commitment to repair our balance sheet is part of our balanced approach to capital allocation. And moving to Slide 7. I'd like to spend a minute discussing in greater detail on Northeast Alliance with American Airlines and the many benefits this Alliance brings to all of our stakeholders. New York, a capacity constrained region, has historically been dominated by just 2 carriers. And in Boston, our lines is enabling JetBlue to expand our low fares and superior products to new markets and create a broad and virtual network. This Alliance in no uncertain terms to supercharge competition in the region. It's important to note that our commitment to competition and low fares is steadfast, as is our commitment to our home here in the Northeast at New York hometown airline. We will continue to implement this important alliance and deliver meaningful value to all of our stakeholders, including our customer's crew members, owners, and the broader economy here in the Northeast. We are fully committed to this alliance and to delivering the tremendous benefits of added competition to our customers. Together with American Airlines, we plan to operate close to 500 daily flights in November, 300 of which will be flown by JetBlue. Given the vastly expanded network and flying, the NEA is estimated to generate more than $800 million in annual consumer benefits. We're also in the process of hiring 1800 new crew members as a direct result of the growth the NEA is enabling for us, jobs that otherwise wouldn't be created without this alliance. I will close with another huge thank you to our crew members with exciting revenue initiatives, a firm grip on costs and superior margins as our guiding light. I am very confident we are charting a course to emerge from this crisis stronger than ever. Joanna, over to you.
Joanna Geraghty : Thanks Robin. I will also start by recognizing our extraordinary crew-members who helped us achieve among the industry's quickest ramp up during the most challenging summer in our history. We were not immune to the operational challenges felt across the industry, exacerbated by weather, runway closures, and a patchwork of varying COVID travel restrictions. At the same time, you our crew members, have laid the foundation for a stronger JetBlue, and I thank you for everything that you continue to do to support our customers and one another. Turning to slide 9, I'm very pleased with our exceptionally strong revenue performance in the third quarter, which declined 5.5% year over [inaudible 00:11:37].. This result was better than our most recent revenue guidance from early September, largely stemming from our fair options initiative, which continues to out perform our expectations. We also benefited from a renewed uptick in demand beginning in mid-September. July and August performance was solid with load factors in the mid-80s and overall yield largely back to pre -pandemic level, which is simply outstanding considering the vast majority of our customers this summer where leisure and VFR. September to the brunt of the bookings softness associated with rising case counts tied to the Delta variant. And the expected post-Labor Day corporate demand recovery that was pushed out to the right. That said, trends did stabilize during the month and are improving. We expect robust revenue acceleration throughout the quarter as the holidays approach and demand continues to meaningfully improve. For the fourth quarter, we're planning for revenue to decline between 8% and 13% year over 2. We expect trough to be challenging, exacerbated by a slower business travel recovery. But the holidays are performing meaningfully better and we took tactical capacity actions to better align with the demand environment. Our strong revenue performance is driven by our continued execution on a number of unique initiatives. Our Northeast Alliance with American Airlines is unleashing tremendous benefits for our customers. This alliance above all is about growth. JetBlue's growth that would not otherwise be possible. We're bringing more low fares, a greatly enhanced network and schedule, and more seats to the Northeast. Together with American, we have already launched 58 new routes out of the Northeast and added frequencies on more than 130 routes. And we will expand through next year, including to 18 new international destinations. Starting next week, we'll begin our long awaited expansion at LaGuardia with new flights to Jacksonville, Savannah, and Sarasota with plans to serve new destinations in 2022, including Nashville, New orleans, and Portland Maine. Our growth in the Northeast has already provoked a competitive response from the entrenched legacy carriers that have long dominated in the region and who stand to benefit the most from the absence of a viable third competitor in the region. Our refreshed fare options offering continues to outperform our expectations. We're pleased to see customer behavior and buy back activity driving a revenue benefit in excess of the 2 points that we called out last quarter. Validating our view that we offer the best product in every category we serve all at low fares. Our JetBlue travel products subsidiary had its highest revenue quarter on record in Q3. And for the full year is on pace not only to deliver the highest revenue relative to overall flight revenue, but in absolute terms as well. This is being driven by very strong performance of vacation packages, travel insurance, and car rentals powered by our Paisly Platform. And the team continues to innovate and expand its offering, including the recent launch of Flights Plus Cruise Bundles for JetBlue vacations. And we're gaining additional attraction in lodging options for Paisley with the launch of vacation rentals. These recent trends and new product launches keep me confident that we are firmly on a path to achieve 100 million and run rate EBITDA next year. Lastly, our teams continue to grow and enhance our loyalty program From a revenue perspective, we are nearly fully recovered, pre -pandemic level and continue to accelerate growth rates that are having a material impact on program performance. For customers, we are on the front end of a multiyear effort to expand benefits and add value to our TrueBlue point currency. Thus far, we've introduced loyalty benefits that give both JetBlue and American customers the opportunity to earn on both airlines, as well as, our 1st phase of reciprocal elite benefits. This creates a new option for Americans, 20 million-plus Advantage members, many of which might not have otherwise considered JetBlue. Over the coming month, we plan to roll out personalized offering and experiences for TrueBlue members, as well as enhancements for our Mosaic customers. Ultimately, we are in the process of transforming our TrueBlue platform. I could not be more excited about the future in this space. Turning to capacity on Slide 10. In the third quarter, our flown capacity declined 1% year-over-two. For the fourth quarter of 2021, our planning assumption is for capacity to decline between 4% and 7% year-over-two, given the seasonal pullback in leisure demand and a corporate travel recovery that has been pushed back. Corporate travel, which historically accounted for approximately 20% of our revenue is currently trending closer to 5% to 10%. While the recovery has been delayed, it is improving significantly each week. And we remain optimistic for this segment to recover even more robustly this winter. We're hitting new highs in the corporate travel recovery, which is recovered approximately a third of 2019 levels. Over the coming years, we expect the NDA will allow us to capture a greater share of corporate travel in the Northeast. As always, we will remain nimble and adjusting to future demand volatility tied to the course of the pandemic. VFR and leisure demand continues to underpin our strong performance. Our network is designed to carry leisure customers to and from high-value geography. To that end, we are pleased that authorities have sensibly relaxed travel restrictions between the U.S. and the U.K. In the week following the administration's announcement regarding the reopening of the travel corridor, we saw a step change increase by more than five-fold for bookings from the U.K. point-of-sale for November travel and beyond. As we move through the recovery, we will continue to be nimble and deploying capacity to areas of demand strength. Our network is one of our greatest assets. And we will continue to build relevance across our focus cities to serve our customers and achieve long-term success. We are thrilled to have meaningfully upside from the NEA ahead of us. I'll close by expressing my utmost gratitude to our crew members, their professionalism and dedication enabled us to navigate all of the new challenges we have faced as a team. We are as excited as ever for our future, as we rebuild our margins and restore earnings in 2022 and beyond. With that over to you, Ursula.
Ursula Hurley: Thank you, Joanna. I'd also like to thank our incredible crew members for their commitment and hard work in building a solid foundation to ensure JetBlue emerges from the crisis. As a stronger airline. Our teams continue to lay the groundwork through our 2022 planning process to ultimately return to long-term financial success and create value for our owners. I'll start on slide 12 with a brief overview of our financial results for the quarter. Revenue was $2 billion down 5.5 percent year over to cost per available seat mile was down 2.1 percent year over to CASM x fuel was up 12.7 percent year over to Adjusted EBITDA was $140 million, and GAAP earnings per share was $0.40, and adjusted loss per share was $0.12. We also recorded a $54 million gain from our investments through JetBlue Tech Ventures. Going forward, we expect to record mark-to-market gains and losses from our equity investments and other income, but will exclude these adjustments in our non-GAAP results. We were very pleased to achieve pre -tax profitability in both July and August as expected. And both our third quarter revenue and adjusted EBITDA came in above the high end of the ranges we expected in early September. This was largely driven by stronger than expected performance of fare options and a mid September pickup in bookings, which drove the best revenue results in the third quarter of those that have reported. For the fourth quarter, we estimate our EBITDA will range between negative 50 million to positive $50 million. This sequential decrease is due to the seasonal leisure demand pattern and pressure from the recent material spike in fuel prices. Turning to Slide 13, our teams worked exceptionally well to manage the complexities due to this swift operational ramp -up for the peak summer travel period. As we look ahead, we believe we are charting a course for sustained profitability and superior margins through a laser focus on cost control. We'll maintain a nimble and flexible approach in managing capacity, as we have done throughout the pandemic. During the third quarter, CASM ex-fuel increased approximately 12.7% year-over-two within the range of our prior assumptions to ensure appropriate staffing levels for our summer operation. This excludes a payroll benefit of a $186 million from PSP2 and 3, which we exhausted in August and reflects approximately 6 points of temporary headwinds we previously identified in last quarter's call that we expect to persist through year-end. For the fourth quarter, our planning assumption is for CASM ex-fuel to increase between 14% to 16% year over to which again, includes short-term pressure from temporary headwinds tied to the recovery. The sequential increase is largely a function of lower capacity for the leisure demand trough period, partially offset by underlying improvement in our unit costs trajectory. We expect to achieve meaningful productivity efficiencies in 2022 as we continue to ramp and welcome new crew members into the operation. Moving to Slide 14, our teams continue to work diligently to improve our cost -structure and mitigate the near-term pressures we are facing as we restore the business and invest in our long-term earnings power. We continue to expect CASM ex-fuel to improve from a double-digit growth rate in the second half of 2021 to low single-digit growth in 2022 versus 2019 levels. We are in the thick of our annual planning cycle and today, I'd like to share an early view of our cost trajectory next year. We expect 2022 to be a story of two halves, assuming a stronger performance in the second half as the recovery ramps. We expect CASM ex to remain elevated through the first half of next year due to lower capacity assumptions before inflecting in the latter half of the year. As the recovery accelerates, we expect elevated rents and landing fees to normalize into start seeing benefits from our enter wide prize parse for productivity to mitigate inflationary pressures. In addition, we plan to continue investing in our margin accretive NEA as business travel recovers and catching up on the significant amount of maintenance work we deferred throughout the pandemic. Following the completion of our planning process, we will share more about our initiatives that will help us achieve our cost goals.We are fully committed to keeping our cost low and generating superior margins for the long term. Moving to Slide 15. In the third quarter, we took delivery of 3 A220 and 1 A321LR. The fleet stood at 280 aircraft at the end of September. And we expect to take delivery of 2 additional aircraft's during the fourth quarter. Our full-year 2021 CapEx forecast remains unchanged at approximately $1 billion. The majority of which is aircraft CapEx, which we intend to pay for with cash. Turning to the balance sheet and liquidity on Slide 16. At the end of September, we maintained a strong liquidity position with unrestricted cash and short-term investments of $3.3 billion or 41% of 2019 revenue. We expect to maintain a minimum liquidity balance of around $2.5 billion in the medium-term, inclusive of our revolver. And we believe we have the ability to raise cash at attractive rates if necessary. Our commitment to delever our balance sheet, lower our debt service obligations, and grow our unencumbered asset base remains a key pillar in our recovery. During the third quarter, we continue to take action to repair our balance sheet by paying down the $115 million CARES Act loan and an incremental a $105 million of bank debt. Year-to-date, we have repaid a total of approximately $1.5 billion of debt. And as a result, we have reduced our annual interest expense by approximately $33 million in 2021. Our net and weighted average cost of debt remain below pre -pandemic levels. While our debt-to-cap ratios stood at 53% at the end of September. A slight decrease from the prior quarter. In addition, our unencumbered asset base grew by approximately $500 million during the third quarter. We continue to make extremely good progress in returning our balance sheet to investment-grade credit metrics. Looking ahead, we plan to maintain a balanced approach to capital allocation to help achieve our financial targets, enabled by our relatively strong balance sheet which we believe ranks among the best in the industry. I'll close with another thank you to our inspiring crew-members for helping to navigate the most challenging period in our history. They are playing a critical role in positioning JetBlue to exit the crisis on a path towards creating value for all of our stakeholders. With that, we will now take your questions. Over to you Frenzy.
Operator: Thank you. And participants as a reminder, to ask a question, you will need to press star 1 on your telephone [Operator Instructions] Your first question comes from the line of Savi Syth from Raymond James. Your line is now open.
Savi Syth : Hey, good morning everyone. If I may Ursula I think, if you look at the second half 2022 unit costs, kind of view that it should be below second half '19. I believe pre - Covid, with the structural cost program, you were looking to be about maybe 1 to 2 points lower than 2019. So on top of that, now you have several headwinds including 2 to 4 points from the NEA. You have elevated maintenance and inflation, which nets you out to a low single-digit pressure in the best-case scenario. To get to that below 2019 level in second half 2022, how much of it is coming from maybe capacity growth versus 2019, and how much of it is maybe more structural cost initiatives that you hadn't identified or perhaps hadn't executed when you came out with that 2020 guide back in January of 2020?
Ursula Hurley: Good morning, Savi. Thank you so much for the question. I want to reiterate or laser-focused on cost. And we acknowledge that costs are the key to our success in delivering superior margins. Our singular focus on mitigating the sustained headwinds, which we highlighted, which we're cycling through the volume of maintenance events, as well as to your point, the investments in the ADA, the way in which we're going to mitigate those is through operating leverage, productivity gains, optimizing our business partners spend, ensuring that our fixed costs achieved in 2020 carry through to 2022. And as we bring capacity back, we will continue to see the structural cost benefits that we achieved prior to COVID. As I look at next year, I'm extremely confident that we have a path to achieve the low single-digit CASM ex-fuel guidance that we provided.
Savi Syth : Got it. That's helpful. And if I might a quick follow-up to Joanna, you had mentioned buy up in excess of 2 points to the year - over -to-year revenue in 3Q. Just wondering if you could provide some color on the magnitude of -- from the contributions from the other revenue initiatives and maybe the progress you expect over the next year or 2.
Joanna Geraghty : Yeah, sure. Thanks, Savi for the question. I'll start walk through each one of them in, Dave Clark, feel free to add additional color if I miss anything. So the way we're looking about this, these are unique JetBlue revenue initiatives. There's 4 of them that sit on top of I think what we view as 2022 being a being a pretty strong recovery year, both leisure and then taking advantage of the return of the business customer. Fare Options 2.1, recall, we launched sort of the latest iteration of this less than a year ago. Fare Options has absolutely delivered on what we expected. It's our goal is to deliver the best products at a low fare in every category, how we compete in the segment and marketplace with clearly defined products and price points. So we're just incredibly pleased with the overall performance we had originally anticipated about a 1 point RASM benefit. We adjusted that in the last earnings call to closer to 2, and now we're exceeding 2. So I think just great performance by the team. And I think the other piece was mentioned is, we have continued ability to optimize as we learn more and follow customer behavior throughout the year and how they engage with their options, both in the peaks and in the off-peak time frame. The 2 things that are driving the improved performance, greater up-sell, and frankly more customers are checking more bags. So that's what you're seeing on the fare options side of the house in terms of loyalty. The second of the four initiatives, no change from last quarter. That's a point of RASM. It is purely economics associated with the co-brand deal. So as you think about loyalty, you could think of incremental benefit on top of that coming from growth of the program. organic growth from the NEA and the partnership we have with American Airlines. And then we have, I think, a unique opportunity to really focus on serving some of these underserved segments that don't have access to credit in some of the same ways that others may now as we focus on our DE&I strategy. And then as we mentioned, evolving the overall program from 2022 into '23. JTP, the 3rd of the 4, we see that delivering about a hundred million of EBIT next year. We're making great progress, Andres Barry and his team, the crews plus flights, as we mentioned, and Paisly. We should think about Paisly as offering additional travel benefits to customers who book trips on JetBlue, whether that's cars, hotels, excursions, and we see a tremendous opportunity there. And then finally last but certainly not least is the NEA. We are very confident that this will be margin accretive as we move into 2022, particularly with the recovery of business travel. That said, there is a large leisure play here as well, which we're excited about, and we've continued to count the benefits of this, I mean, I think you see it across the industry with some of the announcements or other carriers around the competitive landscape we're going to bring a viable third competitor to this region, more seats, more routes, lower fares, better service. This unlocks tremendous growth opportunities for JetBlue in our geography that we would not have otherwise had, with that will come greater relevance. Whether it's through Codeshare, loyalty, merge-joint corporate sales. So those are the 4 initiatives. We're really excited about the momentum we have behind those. You factor that in with the improving demand environment and 2022 should shape up to be a good year on the revenue side for us.
Savi Syth : And where is the JBT today? Sorry.
Joanna Geraghty : We haven't indicated where it is today. It's on a journey, but we're very confident it will hit a 100 million of EBITDA. Through the end of '22.
Savi Syth : Got it. Alright, thank you.
Operator: Your next question comes from the line of Catherine O'Brien from Goldman Sachs. Your line is now open.
Catherine O'brien : Hey, good morning, everyone. So one of the Transatlantic, I know you called out the recent strength that seems in line with that -- what your competitors have also been seeing. But we've also had one of your competitors call out that they expect the domestic network to be more challenged due to industry capacity growth in international over the next couple of years. I guess first, do you agree and if you do, would you consider speeding up your Transatlantic expansion? Are you able to with your current portfolio? Thanks.
Joanna Geraghty : Sure. Maybe I will start with Transatlantic first and sort of what we're seeing there, give you a little bit more insight. Frankly, we timed the launch, I'd like to take credit for it, but we timed it incredibly well with the change in the 2-12 travel restriction, so that could not have happened at a better time. That's ramping up very nicely. Both factors around 60%, but that jumps after November 8th. If you've read any of the reviews and absolutely fantastic product, fantastic service, we're doing what we do best, bringing better product at a low fare in a historically overpriced market. And really excited about what we are doing there. In terms of future growth opportunities there, we're focused on London and New York and Boston next summer. And that's where our priorities are in terms of Transatlantic. As you think about the domestic landscape, we're quite bullish on the domestic landscape. We have a set of unique revenue initiatives. We are -- others are talking about pivoting the leisure, we are a leisure carrier. That is what we do. We do it well, that is what we are born to do. Leisure continues to fuel this recovery. It remains strong both on the VFR side and the strictly leisure side. That said, we're also well-positioned for business recovery as you look at -- not just what we organically do largely out of Boston, but what the NEA is going to be delivering for us as well. The peaks are strong, holidays are looking good, so we're excited about what next year brings, and we think the Transatlantic is frankly gravy on top of what we're already doing.
Catherine O'brien : Okay. Great. And maybe just sticking with revenue. I know in the past investment or share of that corporate revenue represents about 20% to 30% of total. I guess, 2 parts. 1, any early thoughts on where that could go with the NEA as you break into some new accounts in the Northeast and then I'm guessing that varies seasonally. Any thoughts on perhaps the greater drag that might represent in 4Q and 1Q versus 2Q and 3Q, I'm guessing it's a lower percentage of total revenue. Thanks for the time.
Joanna Geraghty : Our corporate travel typically represents over the course of the year about 20% of our overall revenue. In the fall, it moves up to 25%. If you look at other airlines and think about the NEA opportunity, they're around 30%. Anywhere between that 20% to 30% range of how we're thinking about the revenue opportunity from corporates for the NEA. We're very excited about the partnerships, not only does this give us access to Americans ' accounts, but we'll be able to do joint corporate sales. We're very pleased about the opportunity on the business travel on the corporate side. But again, I also want to emphasize there's tremendous leisure opportunity as well. We've announced a whole set of routes into the Mid Atlantic South, we got Denver so the NEA is definitely corporate piece of it, but there's also a tremendous leisure piece and it's frankly making JetBlue of 5% player a far more relevant competitor in this region with a much bigger network, much better opportunities for customers, joint loyalty, so all good things there.
Catherine O'brien : Great, thanks so much for the color.
Operator: Your next question comes from the line of Duane Pfennigwerth from Evercore ISI. Your line is now open.
Duane Pfennigwerth : Okay, thanks. Just on the E190s. Can you let us know like how restored they are now? What percent of the ultimate recovery in the E190s we're seeing maybe in the fourth quarter and first quarter? And I don't know if you have any high level thoughts on margin profile by fleet type.
Joanna Geraghty : Scott, you want to take that?
Scott Laurence: Yes, I can take that. Thanks for the question.
Scott Laurence: is that, a couple of things, but first is the E190s are flying and we'll be flying. The fleet comes out entirely out of the -- out of storage as of November 19. In terms of the E190 and its profile versus the rest of pre -COVID. I mean, obviously we had some maintenance headwinds on that airplane, and it's -- again, I think serving a very good purpose as we focus on the shorter haul flying particularly in Boston, and as we ramp up the NEA. So again, I think while that -- we have that fleet queue a bit longer because of the NEA opportunity. Again, we -- I think we're in a position to see that airplane producing given the profile of the missions that we can flight it on.
Robin Hayes: The only thing I build on that Duane, it's well-being. Good morning is to sculpt spot. I think we've really learned with that plan over the years the type of mission where it can perform well, I think as we pivot back to any schedule, as we pick pivot back to higher frequency, shorter stages to certainly what we've been flying it during COVID, where we were really flying it for cash generation purposes. I think we feel really good about the ability for the one mine to also drive and contribute to margin.
Duane Pfennigwerth : Thanks. And then maybe just to stay on that fleet-type. Everything you've said about the NEA and being certainly more relevant here in New York, that makes a lot of sense. If it doesn't go the way you anticipate and you've been very transparent about the cost headwinds related to this fleet-type into next year, if this does not go the way you anticipate, do those costs just go away and do these 190s go back into storage and that's just a client question. I appreciate your thoughts. Thank you.
Robin Hayes: Duane, I appreciate the question. Obviously, you don't even expect me to start the answer by saying that we are very confident that the NEA will be extremely successful. When I look at JetBlue's P& L over the years, one of the things that limit -- limited us just the lack of the ability to grow New York. New York has always been a market where we might up -- we've made really good margins and others have struggled. There's no reason not to believe that the NEA won't be successful. And I think most any -- most industry observers see that too. And I'm -- I think everything that we said around allowing JetBlue to build more relevant, some of the things that Joanna talked about, giving people a reason to get the credit card to engage a more heavily in the TrueBlue program. All those things flow from having a bigger, more relevant network. However, I don't want to dodge your question. So, what if we're wrong about whether that? While the cost simply come out, I mean, if you look at the CASM guide that we say it really relates to keeping the 19 beyond the original plan to set them down, which was really a 1 for 1 of the 2 in 2 came in and it reflects the fact that we have more flying in higher-cost airports. And of course, if the NEA doesn't happen, I assume the slots that will be flying, additional slots that will be flying we would no longer be flying and you would see the IPO cost reduce as we would have less exposure to some of those high-cost airport. So the purpose of the what-if planning, please I'll say again, we're very confident that the NEA will be incredibly successful and do everything we believe it will. But if we were wrong about that or if for some reason the DOJ was successful, which I don't believe they will be. But if they were then, it'll be relatively straightforward to back those costs out.
Duane Pfennigwerth : Okay. Very clear. Thank you.
Operator: Your next question comes from the line of Dan McKenzie from Seaport Global. Your line is now open.
Dan McKenzie : Hey, thanks. Good morning, guys. Just a couple of questions here. I guess going back to the script, a few things that you guys shared restoring earnings power beyond 2019 and superior margins for the long term. So if I go back to 2019, JetBlue was pretty clear that that year was a transition year on the way to a better 2020. So I guess, what I'm wondering is, you guys saying that, you think you really have a business plan here for better margins versus 2019 steady-state.
Robin Hayes: Ursula, you want to take that?
Ursula Hurley: Sure. Good morning, Dan. So Dan, as you referenced, I would remind us all that we were on a path to deliver flat CASM ex-fuel pre - COVID. We exceeded cost expectations in 2019. We significantly closed the GAAP versus our peers and we were on track to deliver record cost performance in 2020. And costs are a vital pillar of our business model. And when you couple our commitment to deliver flattish unit cost trajectory to drive superior margins over the long-term with unique revenue opportunities that are currently outperforming and that flat CASM ex-fuel commitment, it's a meaningful and powerful formula to restore earnings power and expand our margins over the long-term.
Dan McKenzie : Okay, got it. And then going back to an earlier question, 20% to 30% of the revenue coming from corporate travel versus 20% historically, if I heard that correctly, Is that an outlook for 2022? And I guess is it -- I'm just wondering about the resistance to reinstating the margins that you've reported historically. I'm just wondering if it's tied to the lack of visibility around the timing of when corporate travel returns?
Joanna Geraghty : No. No. Let me be clear. So 2019 on average, our corporate contribution was about 20. The percent of revenue on the fall of 25% because obviously more corporate plan in the fall. As we look at the industry and the potential opportunity with the NEA, because that will obviously drive more corporate signage JetBlue on the industry is on average about 30% corporate travels. So we're at 20 the industries that 30 somewhere between their lives, the opportunity for JetBlue with the NEA.
Dan Mc Kenzie : Okay. Thanks for the time you guys.
Operator: Your next question comes from the line of Conor Cunningham from MKM Partners. Your line is now open.
Conor Cunningham: Hi, everyone. You're calling out 6 points of transitory cost pressures. Just what gives you the confidence that this inflationary environment we want to stickier labor costs or maybe about our way to ask it is, how many people are you planning on hiring in 2022? Or from now until the end of 2022? And just like well, how has the wage rates changed as of late?
Ursula Hurley: Yeah. Good morning, Connor. Thank you for the question. To your point, we have highlighted both short-term and longer-term headwinds in regards to labor On the short-term labor challenges, we believe that those are going to get mitigated as we ramp up hiring. And essentially the networks sets into a new norm. We'll be able to longer term drive productivity efficiencies, which we believe will offset the longer-term inflationary pressures that we're seeing. So we entered -- obviously the recovery occurred much quicker than we had originally anticipated throughout the summer, so there was a need to ensure that we paid appropriately to cover the operation. We're hiring in preparation for next year, and as I mentioned, once the network normalizes, we'll be able to drive those productivity efficiencies over the long term.
Conor Cunningham: Okay. And then maybe to just piggyback on Duane's question around the E190s. So, I'm just curious on how much of your 2022 capacity plan is tied to the NEA? And if that obviously about SPAC, does that basically just go away with the E190? I'm just trying to get a sense for the moving parts both on the cost side and the capacity side of the equation and thanks again.
Ursula Hurley: Scott, you want to take that?
Scott Laurence: Yeah, so this is Scott, I'll try to grab that. I mean, if you look at the NEA it represented about 2/3 of our capacity, just going into those rights 4 airports that are involved. What I would highlight is the E190s are not big ASM contributors, right They don't generate a lot of capacity because they tend to fly shorter
Scott Laurence: stages, and, obviously, they've all got a 100 seats. The stage on that airplane as we move forward into 2022, is going to continue to be somewhat limited just based upon the high frequency flying as we restore some of the frequencies, Boston to LaGuardia, things like that that we haven't been able to traditionally access. You got to -- if you look at that and I guess the concept of what we touched on earlier, that the ASM generation associated there is -- it's probably is not going to be significant.
Robin Hayes: If I can add to that though I do think from a capacity, probably that's very true. If you think about what we were flying in New York per day pre NEA, and what we'd be flying in New York post NEA. And then you take into account some additional growth in Boston pre NEA. You're talking probably an excess of a 100 departures a day. Additionally, because of the NEA. And so well, they all short stages. It has a very disruptive effect on low fares because these are some of the markets that traditionally suffered from the high spreads. And so whilst from a capacity point of view, it's not that significant, those you may remember pre -COVID in 2019, I think the one line 2 was about 4 to 5% of our total capacity in terms of ASM. You'll see the impact it has is significant just because of the number of additional flights a day allow us to offer out of New York.
Conor Cunningham: Great. Appreciate the color.
Operator: Your next question comes from the line of Helane Becker of Cowen. Your line is now open.
Helane Becker : Thanks very much, Operator. Hi, everybody. Thank you for the time. To -- one of the areas that you are really strong in is the Caribbean. We had some issues in Haiti. I don't know what's going on in Puerto Rico. Wondering if you can just give us an update on how you're thinking about that market into fourth quarter and first quarter given how they were strong from a VFR perspective earlier this year.
Joanna Geraghty : Hey, Helane. Thanks for the question. I will get a top-line, I'll let Dave to dig a little deeper on Haiti, specifically, obviously tough situation, I know they've had a rough year with a variety of things happening. VFR has performed very well throughout the quarter. We've got good loads and higher fares despite there being some pressure on industry capacity. We're very pleased with its performance into the holiday period. So overall, VFR holding up well. David, do you want to give a little color specifically on Haiti?
David Clark : Sure. And just overall the region, Caribbean, Latin America was our strongest performing revenue region in Q3, had the highest year over to revenue growth. If you look at it as a portfolio performing quite well, and as Joanna mentioned the VFR demand is quite strong, but we also saw a lot of leisure traffic too. As customers look for outdoor activities and outdoor vacations, the Caribbean hits the spot very nicely. And to overall doing well yes, some challenging spots, Haiti being one of them. We continue to work through it, but the region as a whole has been a strong point for our network.
Helane Becker : That was very helpful, thanks. And then my other question and I don't mean to -- I'm going to apologize. I'm not going to be a jerk about it that, as you think about adding capacity on LaGuardia and New York, specifically, JFK as well, you've got, I mean, this area as you guys know is just fraught with ATC delays, weather like today. So how do you think about getting around the delays that all this excess for extra, maybe not excess, capacity will cause in the area to keep the operation from lagging on your part, getting them to wait. And like I said, I don't mean to be a jerk about it that --
Joanna Geraghty : No, worry Celine. Rest assured we talked about it a lot here as well. Listen the New York area is a very high-value geography. There's a lot of people that live here who. wan to fly out of here and there's a lot of people that want to visit here. And in the absence of meaningful reform with NextGen in aerospace that we I think have done an exceptionally good job navigating through. We've got a great team that's focused on how do you operate in the Northeast, frankly, other carriers have tried and haven't done it particularly well. And we have a unique operating model specific to how we set up New York to, I think protect the operation as best we can, we've a greater number of out-and-backs flights between from the northeast other locations to try to ensure that there's a level of stability across the system when we do have disruptive days. I think I will point out that the incremental growth that we have is actually net neutral to the region because it's lot constrained in LaGuardia and JFK. so you're not seeing incremental flights necessarily as much as you're seeing JetBlue does, I mean incremental flights, but the industry as a whole, it'll be the same number out of the region, but our team does a really great job in really trying circumstances. You see customers still flying JetBlue because they recognize that this is a complex market. And we do it well, we focus on completing flights and getting customers to where they want to go, having leisure, that's what we know they want to do in JetBlue and that's what we prioritize.
Helane Becker : That's usually helpful. Thank you very much. Thanks, everybody. Have a nice day.
Operator: Your next question comes from the line of Jamie Baker of J.P. Morgan. Your line is now open.
Jamie Baker : Good morning, everybody. Robin, a question on London and then I guess Europe more broadly, how do you intend to build a brand there? I know what worked well here in the U.S. but different times, different market.
Robin Hayes: Well, Jamie, I'll do that because I know you have be pegged as London guy, I guess that's very fair. I -- look -- I
Jamie Baker : What gave it away.
Robin Hayes: Yeah, exactly. Look, we have a whole plan to do that. We have -- we wanted to wait until we got -- the UK was open. We -- I think we got some very creative ways of doing it that can -- I think stay close to our low-cost routes. And whilst [inaudible 00:54:33] share the point-of-sale split between the U.K. And yes, I will tell you, I'm already extremely pleased as to how much of our business is coming out of the U.K. point-of-sale where we really haven't done too much to promote it, and it's significantly ahead of what we had even expected to be the case, sort of steady-state. So I think clearly what is understood over there through significant amount of media that we've had is that we're doing it differently and we're offering a much more accessible premium service, which is a very good premium service, and continue to of [inaudible 00:55:10] coat well, coach, we call it core -- our core fares that are restoring some of the glory days of transatlantic flying with decent food and, of course, free Wi - Fi and free TV, including the BBC.
Jamie Baker : That's helpful. Thanks, Robin. And then second in the next 3 or 4 or 5 years, what do you think is the biggest structural risk either to JetBlue or the industry? And I'm looking for a big picture theme, this isn't a modeling question. ESG, the next industry labor cycle over capacity, pandemic risk, those themes, well, to the extent it all goes wrong, what do you think would ultimately drive that?
Robin Hayes: Now, when I think at the big picture and I think this is why we've been doing so much in the area of sustainability. I truly believe going into COVID, we're having a lot of discussions with both A4A, which is, as you know, the UK Trade Association and IR. And you started to talk to some of the European airlines around how it was done to think of talk thing influenced how that thinking about planning and positioning and I think I've been really pleasantly, I've really been happy how well the U.S. airline industry has responded to this challenge in relatively short space of time.  You know, we do not want--we want people who fly on us to know that we care about the environment and that we are doing everything we can to reduce our carbon footprint. Because if we don't, as other, other sectors do the percentage of carbon emissions that come from aviation will climb about 2% or 3% if today. And we're going to have an even bigger target on our back. So I think that's the macro risk -- that's the biggest macro risk that I would point to.
Jamie Baker : Okay. Very helpful. Thank you, Robin and team. Take care.
Robin Hayes: Thank you.
Operator: Your next question comes from the line of Andrew Didora of Bank of America. Your line is now open.
Andrew Didora: Hi, Good morning, everyone. Personal maybe, can we go back to cost for a minute? Because in my model I'm having a hard time finding and kind of the cost line that had a lot of leverage to drive CASM down in the back half of next year. So maybe, in first question, can you give us any rough estimates on what kind of capacity you're assuming in the back half of '22 to get to that level. And 2, in the pandemic, I've been looking at cost more on absolute basis as opposed to an ASM basis. And when I look at your cost structure next year, do you think there will be any line items that will be lower in 2022 than they were in 2019.
Ursula Hurley: Good morning, Andrew. Thanks for that question. So in regards to the capacity level that we're expecting next year, so we do envision full-year 2022 to be up versus 2019, and we expect that capacity to ramp up progressively as we navigate through the year, depending on the shape of the recovery. So as we acknowledge, we live in a fluid environment, and so we'll put a stake in the ground in terms of our capacity level to basically drive margins and profitability. I think in overarching comment is that we're still not in the new norm, so the operation is still very fluid and it hasn't yet settled down. What I can point you to is we're starting to see some efficiencies come through because we are getting to a more level setted normalization. So meaning, we had, if you look at Q3 to Q4 of this year, it's a 2 point sequential CASM increase and capacity is decreasing 5. Capacity as it's coming back, we are getting to a more normal level with less volatility, and so we're starting to see cost efficiencies comes to fruition that had previously been mapped throughout COVID. As I look into next year, the levers to be pulled our first and foremost as the network normalizes and is hiring it is optimized, we have to drive productivity. That is essential for us to gain meaningful cost efficiencies as we navigate through the year. I think Stackin, I'll reiterate, we need to ensure the fixed costs that we took out of 2020 or sustained as we navigate through 2022. If we're going through the 2022 planning process right now and I can tell you, no stone is going unturned. So, I feel extremely confident that we've got levers to pull in order to achieve the low single-digit CASM ex-fuel commitment next year.
Andrew Didora: And then one short follow-up from me. In terms of the London flying, can you quantify what the CASM tailwind is going to be from that in next year?
Joanna Geraghty : Yeah, this is Joanna. I'll take that. It's de minimis. I mean, just to give you a sense of the ASM's, London's currently contributing, it's less than half a percent. So de minimis.
Andrew Didora: Yeah. Okay, thank you.
Operator: Your next question comes from the line of Ravi Shanker of Morgan Stanley.Your line is now open.
Ravi Shanker: Thanks. Morning everyone. Just a couple of follow-ups. I think you said on the call that holiday travel is looking really strong, but I'm not sure if you quantified it.?Apologies to be dead?. If you could just give us sense of what holiday travel is tracking like versus 2019. Second, not to beat the horse on the whole Margin versus cost story here, but I wanted to clarify -- Robin, you said at the top of the call that you are laser-focused on margin. Ursula, you said that you are highly focused on costs and there's been a lot of talk on the revenue opportunity with any international as well. So the risk of being and all of the above. What is the priority here? Are you focused on EBITDA growth? Are you focused on margin improvement are you focused on cost control? What's the -- if you're going to rank all that that would.
Robin Hayes: Sure. I'll take that and then maybe -- I'll maybe answer the second part of your question and maybe one of the team can take comment about the holiday. Margin is our North Star. I think the reason we spent so much time talking about cost is that we knew ahead of COVID, we had to do a lot of work to drive more efficiency in our cost structure. We had the structural cost program that in the end ended up delivering more than the $250 to $300 million goal we set. As we went through COVID, we also took some further opportunities to reduce our fixed cost structure as well. And so, as we come out of COVID, we need to be laser-focused on maintaining that focus on costs. And there were a lot of challenges that go with operating the Northeast. And so we have to be very laser-focused on that so that we can maintain our commitment to our cost structure because ultimately that's what allows us to offer low fares. Now, the reason I think margin is -- I think the proof point that margin is a North Star is the decision that we took to enter into the NEA with American. It does drive some additional costs which we outlined in the last earnings call because we are keeping the E190s longer and our mix is changing to have more flying into higher-cost airports that we did that because [inaudible 01:03:19] margin. So I don't want -- I want everyone to be under no illusions. Margin is our North Star, but we aren't going to take our eye off the cost structure either.
David Clark : And Ravi, this is Dave, just following up on the question about the holidays. The holidays continue to book well, as we've seen in the third quarter, July and August's peak travel period performed very well. Right now, the holidays are about even with where we were at this point in 2019, they were behind for quite a while because the Delta variant, so we were falling behind in August and early September. We've not been catching up for over a month and about even. And December, I'd say especially, is performing well. The last several weeks we've actually taken more revenue bookings this year than we did at the same time in 2019 over this booking weeks.
Ravi Shanker: Very helpful. Thank you.
Robin Hayes: Frenzy, we'll take a couple of more questions.
Operator: Thank you. Your next question comes from the line of Christopher. Your line is now open.
Christopher: Good morning, everyone. Thanks for taking my questions. Going back to this focus here on productivity, could you help us frame how you're thinking about and what are some of the metrics that we should look at here? Is it ASM's per FT E and I guess there's a part B to that? Do you believe that you can, what -- when fully recovered, meaning on a 2019 ASM base, can you run the airline at fewer FTEs relative to 2019? is this a total passengers per FTE. And then also on fuel as we look out to 2022 and 2023 assuming we are fully recovered there. Should we expect that line to improve as well versus 2019? Thank you.
Joanna Geraghty : Hi, this is Joanna. I'll take the first part just to give you a sense of how we look at it. So it's a combination of departures and customers per FTE. Obviously, each work group has a specific set of metrics though tech ops is a little bit different. That's about departures and customers. But rest assured, we are looking looking at it at every level and are very laser-focused on it. I'll point out a couple of things. Number 1, we will see juniority benefits with hiring that we wouldn't have had post pre - COVID as we bring more crew members on. That's a tremendous benefit. Number 2 and Ursula mentioned it, but I cannot emphasize it enough. The volatility of the schedule has created a level of inefficiency into the operation that will go away into next year as things stabilize. So when you think about pulling capacity close in, you pay for a certain amount of crew costs when you do that. When you think about pivoting the network to introduce new flying, it means that the markets where you have staffing that maybe excess staffing that you otherwise would have used in a normal time. And so as the network stabilizes, as we continue to hire more crew members to make up for where crew members have left at a lower junior -- at a lower seniority number, that will drive meaningful benefit across the operation. So I think that's the most important thing to remember, and that will get much better as we cycle through and step into 2022, right now, we're in ramp-up mode. We're hiring a lot, but there's also a training throughput issues, so we can't bring everybody on overnight. We have to meter them in so you'll see a level of inefficiency into Q4 and into Q1 as we continue to ramp up and get to the right staffing complement moving forward, maybe Ursula, you want to take the second part of the question.
Ursula Hurley: Yeah, I would just reiterate what Joanna said. So as we navigate through the 20-22 planning process, we envisioned the network normalizing. We'd go work group by work group in terms of the metrics that we track. I would also highlight that we'll also focus on working with better leverage technology and where can we fundamentally improved processes. And this is not only in Joanna 's frontline work groups, but also corporate support centers as well. That's why we feel very confident that there is a path to deliver meaningful value here as we look at achieving that low single-digit CASM ex-fuel number next year.
Christopher: Okay. And if I could just the second question here on the 20% to 30% opportunity on the business side, we're just curious what type of mix is that contemplating in terms of industries,. Is that similar to 2019 or perhaps should we consider a different mix and by extension a different level of body? Thank you.
David Clark : Sure. Thanks, Christopher, for the question, This is Dave. The mix would be largely the same. We already have about 3 quarters of our business and corporate exposure in New York and Boston so growing this area won't change the mix significantly for us.
Christopher: Thank you.
Operator: Your next question comes from the line of Brandon Oglenski of Barclays. Your line is now open.
Brandon Oglenski: Hey, good morning. And thanks for taking my question here. I just want to circle back to the NDA, Robin or Joanna. Can you guys talk to the anticipated benefits of this partnership and how important is that revenue sharing portion of it, because I think that might be where some of the criticism is coming out at this and then Ursula, you did talk. About a couple of points from the NDA, but that's being accretive to the Alex. I'm assuming that's more of the short-haul smaller gauge. Fine. But would love a little clarification there, too. Thank you.
Robin Hayes: Sure, no. Brandon, I'll keep it still high level just because of time and then we can think a way for follow-up, but think of the NEA I mean, again, this is effectively enabling JetBlue to increase our presence in New York by nearly 50%. That is extremely significant from a network relevance point-of-view that is very important in terms of being more attractive to corporate flying. I can't tell you -- when we look at our data how much of a high-share of wallet if we have of people's leisure income, and a larger share of wallet in the business -- on the business side. And so the ability to fly more places, the ability for Americans high-value customers to fly on JetBlue, the ability to offer -- for us to offer more [Inaudible 01:09:39] for our own TrueBlue members, especially our Mozart members. And then overlay all the benefits of co-chair [inaudible 01:09:47] it is a multi-pronged approach, and all I will say is that, I look back historically and JetBlue in New York always been up-stand out-performer from a margin perspective. And this is another enabling us to grow that beyond what we could have possibly done without the NEA.
Brandon Oglenski: Great. Frenzy, we'll take 1 final question from the analysts.
Operator: Thank you. Your next question comes from the line of Hunter Keay of Wolfe Research. Your line is now open.
Hunter Keay: Thank you for getting me on. I appreciate it squeezing in. L isten, I know we know that the NEA is going to drive some costs on the East Coast, but how are you feeling about the ability to keep costs down on the West Coast where you just reoriented the West Coast strategy around LAX. I asked the question because Frontier just pulled out of LAX because of what [inaudible 01:10:39] is doing with airport costs there. I think about this margin as a North Star concept. Are you sure that you are going to be able to have the West Coast strategy be accretive to that in the context of all the moving parts?
Scott Laurence: Scott, I appreciate the question. I think, first and foremost, the West Coast strategy is anchored around the Transcon. And if you look at our performance in -- particular in LAX, Mint has been the standout for us and continues to be the case. That was the case before COVID, and through COVID and today. Again, I think the West Coast strategy is based upon ensuring that we leverage the -- having the best product at the best price. The NEA also comes into that as well. So again, I think the West Coast strategy is one where we can drive margin and a significant portion of the -- that success will come from mid flying and expanded mid flying and expanded Transcon.
Hunter Keay: All right. And then Robin, what are some of the things that JetBlue has historically done well on costs. And what are some things where you see the most room for improvement?
Robin Hayes: On costs with that, I take it?
Hunter Keay: Exclusively on costs. Not unit costs but just overhead and just anything that you think you guys could probably do a better job going forward relative where you've been in prior years.
Robin Hayes: I think I'd point back to the 3-year structural cost program where we delivered exactly what we said we would do. We have some of the best multi-bag unit cost performance during some of that period, and so I think the -- that the -- and we did have over $300 million of benefits. I think that we've demonstrated [inaudible 01:12:30] for a number of years as we came to COVID, we also took the opportunity.It will ah, about Baker. I'm sorry.Onto Mik start again. I wasn't trying to avoid your question on costs. But to recap, I would say that between the period of 2017 and 2020, as we went through the structural cost program, a significant number of our maintenance cost issues, our distribution cost issues, you will recall that those buckets. I mean, historically, if you compare our cost performance to other airlines, one of the areas where we have performed less well, with our maintenance costs and that's why so much of the structural costs program was focused on that and putting the lot agreements in place as we took delivery of new airplanes to smooth out over time. So I'm very pleased that with the efforts that the teams have made in all of those areas. As we went into COVID, we talked a really hard look at our fixed cost structure. And sort of committed to delivering over a $150 million of fixed cost savings. And we are well on the way in accomplishing that. And as we come out of COVID, I think this long-term commitment, I mean, when I think about the next 5 years, I don't see any reason why JetBlue can't continue to deliver flattish CASM on sort of mid-single-digit increases in capacity. And that's what we'll, I think, provide some clarity. So this is a new JetBlue from a cost perspective. I know a lot of it gets marked at the moment because of what we've done with the network and how we're managing through COVID. But I truly believe coming -- maintaining our discipline and focus on costs plus the additional revenue initiatives. It is a unique store industry in terms of one that can drive margin and drive margin next year. This is not a plan to drive margin in 3 or 4 years. This is planned to drive margin into '22 and that's where we focused on.
Hunter Keay: Okay. Thank you.
Joe Caiado: Great, thanks, Robin. And that will conclude our Third Quarter 2021 Conference Call. Thanks for joining us this morning. Have a great day.
Operator: And again, that will conclude today's conference. Thank you for your participation.